Operator: Good day, everyone, and welcome to the PAA and PAGP Fourth Quarter and Full-Year 2017 Earnings Call. Today's call is being recorded. And at this time, I would like to turn things over to Roy Lamoreaux, Vice President, Investor Relations and Communications. Please go ahead, sir.
Roy I. Lamoreaux - Plains All American Pipeline LP: Thank you, Yolanda. Good morning and welcome to Plains All American Pipeline's fourth quarter and full-year 2017 earnings conference call. The slide presentation for today's call can be found within the Investor Relations and News & Events section of our website at plainsallamerican.com. During today's call, we'll provide forward-looking comments on PAA's outlook. Important factors that could cause actual results to differ materially are included in our latest fillings with the SEC. Today's presentation will also include references to non-GAAP financial measures, such as adjusted EBITDA. A reconciliation of these non-GAAP financial measures to the most comparable GAAP financial measures can be found within the Investor Relations and Financial Information section of our website. With the exception of PAGP's deferred tax asset, we do not intend to cover PAGP's results separately from PAA, since PAGP's results directly correspond to PAA's performance. Instead, we have included schedules in the Appendix of the slide presentation for today's call that contain PAG (sic) [PAGP] (00:01:16) specific information. Please see PAGP's quarterly and annual filings with the SEC for PAGP's consolidated results. Today's call will be hosted by Willie Chiang, Executive Vice President and Chief Operating Officer; and Al Swanson, Executive Vice President and Chief Financial Officer. Additionally, Greg Armstrong, Chairman and CEO; Harry Pefanis, President and Chief Commercial Officer, and several other members of our senior management team are present and available for the Q&A portion of today's call. I would note, we plan to limit our call to approximately one hour this morning. With that, I'll turn the call over to Willie.
Willie C. W. Chiang - Plains All American Pipeline LP: Thanks, Roy. Good morning, everyone. Thanks for joining our call today. At this time last year, we characterized 2017 as an event-filled year of transition, expecting the first six to nine months of the year to be challenging. That certainly turned out to be the case, with our Supply and Logistics segment being adversely impacted much more than anticipated. In response to those incremental challenges and reduced visibility in the S&L segment, we made several midcourse adjustments to improve PAA's long-term positioning that were discussed in our two August conference calls. In that regard, I'm very pleased to report that we finished the year on a strong note, executing on all aspects of the go-forward plans we laid out in August 2017. Specifically, and as outlined on slide 3, we delivered fourth quarter 2017 operating and financial performance slightly ahead of expectations. Our full-year 2017 adjusted EBITDA results were consistent with our mid-year guidance, and our fee-based segment performance was strong, slightly ahead of our original full-year guidance. We reduced our total debt by $1.5 billion during the fourth quarter of 2017, while exiting the year with $3 billion of liquidity. These debt reductions include the early retirement of $950 million of senior notes and the reduction of short-term/inventory debt by approximately $200 million compared to September 30, 2017 and approximately $375 million relative to the June 30, 2017 balance. We also completed $1.1 billion in asset sales, which includes the approximate $700 million targeted asset sales program we laid out in August of 2017, and we also advanced efforts on additional sales that we plan to complete in 2018. Our teams completed construction and placed the new Diamond and STACK JV pipelines in service and completed the capacity expansion for Cactus I, which together with the completed expansion of the BridgeTex pipeline, collectively added over 275,000 barrels a day to our net transport capacity. In addition, we obtained long-term MVCs that enabled us to sanction construction of the Cactus II pipeline from the Permian to Corpus Christi in Ingleside area, as well as the extension of the Sunrise pipeline from Colorado City to Wichita Falls and the looping of our Sunrise pipeline from Midland to Colorado City. Consistent with the plans we laid out in August 2017, we remain on track to achieve our de-leveraging objectives and targeted credit metrics by early 2019, while maintaining substantial distribution coverage underpinned predominately by fee-based cash flow sources. Our 2018 plan of $2.3 billion includes $2.2 billion of fee-based EBITDA, which compares to the $2.3 billion of fee-based EBITDA we shared on our August 25 call. The $2.2 billion is an increase of approximately $180 million over 2017, and is driven by new projects and expansions recently placed into service, as well as the full year benefit of production growth realized in 2017 and additional Permian production growth that we anticipate in 2018. Before elaborating on our Permian growth expectations, I'd like to point out that the sequential comparison of our 2017 performance and projected 2018 fee-based adjusted EBITDA includes impacts from the following areas: asset sales of $1.1 billion closed in 2017 and an additional $700 million of asset sales we are planning for 2018; recent optimization of some of our existing commitments through blend and extend opportunities, which lower near-term fee-based revenue in exchange for longer term benefits of term extensions and in some cases increased business. We've incorporated refinements to our prior transportation volume estimates based on new input from producers committed to our systems. This has a limited impact on our Permian Basin takeaway pipes, but a more significant impact on intra-basin movements. By and large, the refinements provided by our producer customers appear to be a combination of timing delays associated with drilling and completions, as well as refinements to capital expenditures as producers seek to balance capital budgets with cash flows. Finally, although we are not through the winter season, we also included an estimate for adverse impact of weather-related issues during the first quarter of 2018, primarily in the Permian. Regarding our margin-based Supply and Logistics segment, we have provided guidance of plus or minus $100 million, which is consistent with the assumption in our leverage reduction plan that we discussed in August. Looking forward, we believe the fundamentals are favorable to our asset base and business model, particularly in the Permian Basin. To be clear, we see meaningful volume growth in the STACK, Eagle Ford, DJ, and Williston Basin, which have been incorporated into our outlook for 2018. However, the major driver for fee-based growth is clearly the Permian. Before I address new projects that we have added to our capital program for 2018 and 2019, let me spend a few minutes on our fundamental outlook for the Permian, which underpins our outlook for 2018 and also for approximately 14% to 15% growth in our 2019 fee-based adjusted EBITDA over the 2018 guidance, even after taking into account planned asset sales. As illustrated at the top right of the slide 4, the Permian Basin realized approximately 700,000 barrels a day of production growth from year-end 2016 to year-end 2017, which is consistent with the projections we shared in our May 2017 Investor Day. Production levels in the less mature areas of the Delaware Basin lagged our forecasts, while production in the more mature areas of the Delaware Basin and Midland Basin exceeded our forecasts. Drilling activity exceeded our forecast materially, and on balance, completion activity and well performance were pretty close to expected levels. The resulting imbalance between wells drilled and wells completed in 2017 generated a record inventory of nearly 2,800 drilled but uncompleted wells, or DUCs. Our forecast suggests that the number of wells drilled will continue to exceed the number of wells completed until mid to late 2018, further increasing the DUC inventory. In addition, we estimate that 20% to 25% of the Permian horizontal DUCs reside within acreage that is dedicated to our assets. Although a larger DUC inventory represents a timing delay for our intra-basin system volumes, it also serves as a visible source of volume for all of our Permian Basin assets. Overall, continued improvements in drilling and completion technology, efficiency gains, compressed regional differentials, and unit cost reductions have substantially reduced the oil price level required for Permian producers to generate attractive returns. In a $50 a barrel oil price environment, these advancements provide long-term visibility for sustained U.S. production levels generally and significant growth opportunities in several regions, but most notably in the Permian Basin. We currently forecast Permian crude oil production to grow to 3.4 million to 3.5 million barrels a day by year-end 2018. Therefore, as the primary growth driver of our fee-based business, the Permian is our key focus for incremental growth capital investment. Let me now address CapEx. In August 2017, sanctioned projects totaled approximately $1.15 billion, spanning the second half of 2017 and full year 2018. We invested approximately $520 million in the second half of 2017, leaving approximately $630 million to be left to be completed in 2018 associated with those projects. Since that time, we've advanced a number of additional projects, the two largest being our Cactus II pipeline system project and Phase II of our Sunrise Loop, which are illustrated on slide 5. Both of these projects are supported by long-term shipping commitments from large established companies. Additionally, in tandem with developing both of those Permian Basin takeaway projects, we've also added several other Permian Basin projects that not only support these two pipeline projects, but also provide incremental revenue generation on their own. These complementary projects include an expansion of terminalling and storage facilities at both Wink and Midland, and additional intra-basin gathering and pipeline projects that connect production located on or near our dedicated acreage to the origination points on both Cactus II and the Sunrise Loop. Many of these ancillary projects are anchored by long-term support arrangements. Slide 6 provides additional information on Cactus II, which is the larger of the two takeaway pipeline projects. Collectively, these two new Permian – these Permian Basin projects represent the majority of an additional $1.2 billion of expansion capital to be invested over the next two years, of which $780 million will be invested in 2018. As a result, we expect our 2018 expansion capital to total about $1.4 billion, which includes these new projects and 2017 carryover projects into 2018, which Al will detail later, we expect to fund with non-dilutive capital sources. PAA is the largest provider of crude oil logistic service in the Permian Basin, the most exciting and active basin in the United States, if not the world. The capital expenditures included in the 2018 and 2019 capital programs will not only provide additional tariff and terminalling revenue from committed customers, but will also generate incremental revenue opportunities on other assets, as these capital projects debottleneck and expand the capacity of our existing systems. The heat maps on slide 7 provide a directional illustration of the incremental capacity available on certain PAA pipeline systems within the Permian before and after the completion of the 2018 and 2019 capital programs. As illustrated on the slide, our long-haul pipelines and certain intra-basin line segments are currently at near-term constraints within our existing system. As we expand these long-haul systems, we effectively de-bottleneck our entire Permian asset footprint by alleviating the long-haul constraint and enabling additional volume pull-through on our gathering and intra-basin systems. Important concept here is that our existing Permian system is really what positions us to win new project opportunities and to deploy capital efficiently; in this case, Sunrise and our Cactus II projects. So in summary, we're very pleased with the continued build-out of our Permian franchise. Capturing these additional long-haul opportunities significantly enhances PAA's positioning to serve our customers, as we expect volumes within the Permian Basin to continue to grow for many years to come. With that, I'll turn the call over to Al.
Alan P. Swanson - Plains All American Pipeline LP: Thanks, Willie. During my portion of the call, I'll provide a recap of our fourth quarter results, provide a few more details on our 2018 guidance, and share an update on our capitalization and liquidity and our 2018 funding plan. I will finish up with a few comments on a couple of accounting matters. As summarized on slide 8, our fourth quarter adjusted EBITDA of $631 million was slightly above guidance and favorable to fourth quarter 2016 result by $31 million. Transportation segment adjusted EBITDA was $354 million, while segment volumes increased to 5.5 million barrels per day, including 3.2 million barrels per day in the Permian. As Willie noted, we are seeing strong growth in the Permian with tariff volumes up 1 million barrels per day, or 47%, from 4Q 2016. Facilities segment adjusted EBITDA was $184 million, which was ahead of expectations, with strong results in several crude oil terminals and in our gas storage activities. Supply and Logistics segment adjusted EBITDA was $92 million, which was approximately $15 million below our expectation. Overall, we are pleased with the quarter. Willie previously outlined the drivers of our 2018 fee-based guidance, which incorporates the impact of incremental asset sales, as well as reduction from the modification of existing contracts in connection with securing incremental MVCs, and/or in blend and extend transactions. As shown on slide 9, our full-year 2018 adjusted EBITDA guidance is plus or minus $2.3 billion, with approximately 95% attributable to our fee-based Transportation and Facilities segments. Additionally, we expect the quarterly adjusted EBITDA profile for 2018 to directionally follow a similar pattern to 2017's quarterly profile, as we expect the seasonality of our NGL business to cause the second and third quarters of our Supply and Logistics segment to show negative adjusted EBITDA. I will note that we are forecasting maintenance capital at $215 million for 2018. Maintenance capital was $247 million in 2017, which included an extensive integrity maintenance program that is expected to be completed in the first half of 2018. Giving effect to the completion of this program and the recent and planned asset sales, we would expect the annual maintenance capital to average $200 million per year on a go-forward basis. Our 2018 guidance for DCF is approximately $1.64 billion, of which approximately $1.48 billion is available to common unitholders. As a result, cash distribution coverage for common units is expected to be approximately 170%. Retained cash flow is expected to be approximately $600 million and implied DCF of just over $2 per common unit. Overall, we remain focused on achieving our deleveraging objectives and targeted credit metrics in early 2019. As shown on slide 10, at December 31, 2017, PAA had long-term debt to capitalization ratio of 46%, a long-term debt to adjusted EBITDA ratio of 4.4 times, and $3 billion of committed liquidity. As the slide indicates, our credit metrics show meaningful improvement over the last few quarters. Moving on to slide 11 to discuss our 2018 capital program, the right-hand side of the slide summarizes the 2018 expansion capital program and preliminary forecast for 2019 CapEx, which Willie outlined earlier in his comments, and are primarily driven by our Cactus II and Sunrise projects. I'll point out that our capital program reflects the expectation that Cactus II will be owned in a joint venture structure, with a proportionate share of the project cost dispersed among the partners and the project to span an approximate 18-month timeframe. As for funding the 2018 program, we expect capital sources to be a combination of cash flow in excess of distributions, as well as an incremental $700 million of asset sales that we are targeting in 2018 and the balance, if any, with the excess proceeds from the non-convertible preferred offering we completed in the fourth quarter of 2017. Additional potential funding sources could include incremental asset sales, additional non-convertible preferred equity, as well as a potential for private equity capital arrangements. I would have note that we have made progress on the $700 million 2018 asset sale target, as we recently executed definitive agreements on three transactions representing a little over half of the targeted amount. I will wrap up by noting that 4Q 2017 results included two accounting matters, which are discussed on slide 12. The first is that fourth quarter 2017 DD&A includes a net charge of $95 million as a result of asset impairments or accelerated depreciation, primarily related to certain rail assets, offset partially by net gains on asset sales completed during the quarter. The second relates to the PAGP's financials only, and it is a $823 million re-measurement of the book value of PAGP's deferred tax asset as a result of a decrease in the federal income tax rate from 35% to 21%. This re-measurement is noncash and does not affect the timing of when PAGP is expected to pay taxes, which we do not currently expect to occur within the next 10 years. Additionally, PAGP's cash distributions will continue to be treated as a return of capital until there are positive earnings and profits for tax purposes, which we do not expect within the next eight years. With that, I'll turn the call back over to Willie.
Willie C. W. Chiang - Plains All American Pipeline LP: Thanks, Al. We are very excited about our positioning for the next several years, especially considering the benefit of our new Permian takeaway projects. Furthermore, we believe we've taken the appropriate steps to deliver on our operating and financial plan, and to enhance the long-term franchise value for all our stakeholders. We look forward to achieving these targets in the coming quarters and executing our broader growth plans over the next several years. Before we open the call for questions, I do want to make a few comments about our expectations for 2018, which I would characterize as another year of execution. We closed out 2017 with a combination of new project completions, a deleveraging plan that's on track, and improving industry fundamentals driven by the Permian Basin. As outlined on slide 13, our 2018 goals include running a safe, reliable, and responsible operation, which includes driving operational excellence in everything we do, cost savings, asset optimization, and improved efficiencies throughout the organization; meeting or exceeding our 2018 operating and financial guideline, which includes growing our fee-based business by approximately $180 million, net of targeted asset sales; progressing our deleveraging plan for return to our target metrics; and finally, executing new projects to capture Permian growth opportunities, further enhancing our position for 2019 and beyond. With that, I'll turn the call over to Roy for quick comments before we open the call for questions.
Roy I. Lamoreaux - Plains All American Pipeline LP: Thanks, Willie. I would note that we've included our typical earnings update materials in the Appendix of today's presentation, as well as a reference slide for modeling updates. As we enter the Q&A session, we ask that you please limit yourself to one question and one follow-up question, and then return to the queue if you have additional follow-ups. This will allow us to address questions from as many participants as possible in the time that we have this morning. Yolanda, we're now ready to open the call for questions.
Operator: Certainly. Our first question comes from Jeremy Tonet with JPMorgan. Please go ahead.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Good morning.
Alan P. Swanson - Plains All American Pipeline LP: Hi, Jeremy.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Hi. I want to parse through the guidance a little bit more here. With the $700 million of asset sales, could you break up like kind of timing across the year, which segments is that? Is that more on the Facilities side than the Transportation side? And how much did Diamond contribute to 4Q? Is that at a full rate or is that kind of a ramp over the year? Could you help us with some of those items?
Willie C. W. Chiang - Plains All American Pipeline LP: Yeah, let me take a shot at this and others can step in. Let me answer the last question first, which was Diamond on 4Q. We started it up in – essentially commercial service in December, so I don't have the exact number on Diamond, but it wasn't – does anyone have that number?
Greg L. Armstrong - Plains All American Pipeline LP: It's probably going to be in the $5 million to $7 million...
Willie C. W. Chiang - Plains All American Pipeline LP: $5 million to $7 million. So it was not a significant piece of it, but certainly was a piece of it. And on the asset sales on the $700 million, Jeremy, we've got it kind of – we've got a number of the deals that we expect will complete first quarter and second quarter, and then another larger piece that will complete at the end of the year. So I know it's not as much resolution as you perhaps wanted. But first and second quarter, and then end of the year would be the breakdown I'd give you.
Jeremy Bryan Tonet - JPMorgan Securities LLC: And is that more on the Transportation or is it more on the Facilities side? The Facilities note a bit of a decrease year-over-year it looks like there.
Willie C. W. Chiang - Plains All American Pipeline LP: Yeah. So the Facilities side would be the one that's near the end of the year.
Alan P. Swanson - Plains All American Pipeline LP: Jeremy, what I would say is if you're looking at kind of year-over-year on the Facilities segment itself, the decrease there from 2017 to 2018 guidance, a large part of that is asset sales that actually were completed in 2017. In addition, some of the $700 million that we're looking at for 2018 are Facilities segment as well. So again, we closed the West Coast terminals late 2017. We closed gas storage asset mid-2017. We've got some Facilities segment assets in the $700 million target that we're looking at for 2018 as well. So roughly about two-thirds of – a little less than two-thirds of the decrease from 2017 to 2018 relates to asset sales.
Jeremy Bryan Tonet - JPMorgan Securities LLC: Got you. Great. Thanks. And then, as far as the JV for Cactus II, I don't know if you're in a position to offer any more color as far as the targeted amount of ownership that you would want to have there or if the partner brings you a certain amount of volumes to the project, anything that you could share there on timing, if you're advanced in the process or earlier stages there?
Willie C. W. Chiang - Plains All American Pipeline LP: Yeah, Jeremy, we probably can't disclose the exact percentage. What we've said and shared before is that we are looking for partners primarily around the producer side that will bring volumes to the venture.
Jeremy Bryan Tonet - JPMorgan Securities LLC: That's it for me. Thank you very much.
Operator: We'll hear next from Shneur Gershuni with UBS. Please go ahead with your question.
Shneur Z. Gershuni - UBS Securities LLC: Hi. Good morning, guys. Just to clarify Jeremy's first question. Is the guidance for Facilities – or fee-based guidance an apples-to-apples comparison for what was given in August or because of the asset sales that it's not a comparable guidance?
Alan P. Swanson - Plains All American Pipeline LP: No, it is not a true comparable guidance, because we're selling more assets than we had back in August. In August, on the earnings call, we had talked about a number of $2.35 billion. When we did the de-leveraging call, we tweaked that down to $2.3 billion, because we were actually increasing the asset sales target. And now, you're seeing another step on the asset sales of this incremental $700 million. That is not the same $700 million that we talked about in the second half of 2017.
Willie C. W. Chiang - Plains All American Pipeline LP: Shneur, this is the way I'd characterize it. If you think about it, we're essentially on an apples-to-apples roughly $100 million lower than the guidance we gave August 25. All right? And it's broken down into the four components that I talked about in the prepared remarks. It's really asset sales. It's some contract blend and extend. Modifications we've made that allows us to get near term. We lose a little near-term revenues, but we gain longer-term revenues as well as some additional business. We've done the true-up with our producer, production and completion forecasts, and then we had some weather and other things. And if you think about those four things in kind of declining order, that's representative of the $100 million delta apples-to-apples.
Alan P. Swanson - Plains All American Pipeline LP: A part of the other is a turnaround that was advanced.
Shneur Z. Gershuni - UBS Securities LLC: So if I can paraphrase, you beat the fourth quarter and the guidance didn't really change by that much once I make those adjustments.
Alan P. Swanson - Plains All American Pipeline LP: That's correct.
Willie C. W. Chiang - Plains All American Pipeline LP: That's fair.
Shneur Z. Gershuni - UBS Securities LLC: Okay, great. On to my actual questions. You've got a pretty big driver – sorry, you've got a pretty big EBITDA ramp in 2019 versus 2018. I mean, it's 15%. That's fairly sizable. I was wondering if you can talk about how much of that is the new projects versus how much is operating leverage. And then when I sort of look at the cadence of when your CapEx comes in, sort of feels like you might actually have a pretty big spillover into 2020 as well too. Is that the right way to be thinking about it?
Willie C. W. Chiang - Plains All American Pipeline LP: Yeah. Greg, can you take that?
Greg L. Armstrong - Plains All American Pipeline LP: Yeah. I mean, we're going to be finishing up Sunrise I and II toward the end of 2018. So you're going to get a full year benefit in 2019, doesn't have any contribution to 2018. On top of that, we're going to be finishing the Cactus II in, let's say, middle of the year to third quarter. And so you're going to get a fairly good contribution there. And we'll get the benefit also of some of these contract modifications that Willie talked about that will start to kick in there that hurt 2018, but start to help outer periods, both from a standpoint of certainty as well as relative contribution. And then there's also, in connection with Cactus II and the Sunrise looping, we're building some additional tankage that's going to be coming on in 2019 as well. It will actually come on a little bit earlier than some of the pipelines, so we'll get the benefit of those fee-based contributions. So when you roll it all around, if you think about it, we added about $780 million of capital to 2018. We funded it with asset sales effectively, and then we start to get the benefit of the cash flows in 2019 for that incremental capital.
Alan P. Swanson - Plains All American Pipeline LP: We also have incremental EBITDA growth associated with kind of the bolt-on gathering systems that are attached to our existing infrastructure.
Shneur Z. Gershuni - UBS Securities LLC: And so that's more of an operating leverage benefit?
Alan P. Swanson - Plains All American Pipeline LP: Yes, absolutely.
Shneur Z. Gershuni - UBS Securities LLC: Okay. Okay. And then just one final question, Al, I think in your prepared remarks you talked about non-dilutive capital raising. Should – the way should we be thinking that as basically you're trying to sell assets hypothetically at 10 times, non-strategic assets at 10 times and you're basically repurposing the capital towards new projects at, say, six times, and so it's effectively accretive and non-dilutive at the same time? Is that the right way to be thinking about it?
Alan P. Swanson - Plains All American Pipeline LP: Yes, that is. And just avoiding common equity by looking at preferred equity, something that doesn't convert into a common security. But as we look at it with the asset sales, truly, the leverage of higher multiples, redeploying it into our core business, something that we think has meaningful growth in the future, we think that's non-dilutive. Absolutely.
Shneur Z. Gershuni - UBS Securities LLC: All right. Perfect. Thank you very much, guys. I'll jump back into queue.
Operator: Thank you. Our next question will come from Faisel Khan with Citigroup. Please go ahead.
Faisel H. Khan - Citigroup Global Markets, Inc.: Hey. Good morning, guys. So I just want to understand some of the moving parts on the change in guidance from the last time you guys gave Facilities and Transportation guidance to where you are today. So the blend and extend contracts, are these related to pipelines or related to the storage facilities? And have you guys taken into account sort of the backwardated curve in crude oil and sort of what kind of impact that might have on storage rates as you move forward?
Willie C. W. Chiang - Plains All American Pipeline LP: So, Faisel, the blend and extend is primarily transportation asset-related on the pipelines. The backwardation and contango on storage piece would really be related to the Supply and Logistics piece, and we have factored in less opportunities for contango carries.
Unknown Speaker: Yes. Our storage, at least the third party, is operational. We can do the contango ourselves.
Faisel H. Khan - Citigroup Global Markets, Inc.: But with your customers who control storage capacity won't – as those contracts roll over, won't they ask for lower rates?
Greg L. Armstrong - Plains All American Pipeline LP: Not because of the operational – Faisel, this is Greg. If you recall, if you've been to Cushing, nobody leases tanks from up there to contango. They do it if they can incrementally, but they need us to operate their refineries and their throughput. And I verify it with the guys. We're not seeing any pressure on our rates. I mean, people ask for reductions, but they're not getting them, because we don't really have to. And those tanks that are in the outer ring, where all you could do is store for contango, I would absolutely believe that the pressure is on those as contract renewals come up. We never tried to charge as high as we could when it was in steep contango, because we were looking for long-term commitments. We got them. And we don't get pushed around when the rates come down on those outer tankage, because, candidly, they can't do what we can do. I mean, we can basically receive or deliver to 14 different pipelines simultaneously. Many of those tanks that I think people are thinking of can receive from one at a time or deliver, but they can't do both at the same time. So we're really not seeing any of the pressures that I think are associated with the shift from a contango market to a backwardated market.
Unknown Speaker: And I'd just expand a little bit on what Greg said. When you think just operationally of our Cushing facility and what's changed over the last few years, we've added a new Red River pipeline system. We've added a new Diamond pipeline system. We've got a new STACK pipeline system connected to it. We got increasing volumes on the Saddlehorn system. So a lot of dynamics have changed, where you have actually more requirements for segregations, more requirements for operational use, and so we continue to see good demand for our facilities in Cushing.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay, that's clear. And my last question is just on corporate governance. As we go into this proxy season, have you guys looked at whether you should be including TSR and return on invested capital in the upcoming proxy? It seems to be a big driver of total return and shareholder value over the last several years. I want to see, now that you have the first sort of vote coming up for the board, if that's something you will include in the proxy.
Greg L. Armstrong - Plains All American Pipeline LP: Yeah. This is our first year to go to the annual proxy, which I think what you're referring to, as we shifted – over the next several years we'll have rotating votes on different classes of directors. We still have the designated directors. But we'll include a total shareholder return graph. It will be part of the CD&A as it always – the concept has always been there. The graph will be in this one. With respect to return on invested capital, I don't know if we're there yet. We're still – ink's not even started to go on the paper in some areas. I think our meeting is in May, and so we'll be filing that probably in March.
Faisel H. Khan - Citigroup Global Markets, Inc.: Okay. Thanks, guys.
Operator: Thank you. Our next question will come from Christine Cho with Barclays.
Christine Cho - Barclays Capital, Inc.: Hi, everyone. I'm going to beat a dead horse just to make sure I understand this. The $1.1 billion asset sales in 2017 was already factored into the prior $2.3 billion assumption for fee-based businesses. So the new guidance should only include the impact from the $700 million you guys are selling in 2018. Is that fair with respect to asset sales?
Willie C. W. Chiang - Plains All American Pipeline LP: That's correct, Christine.
Christine Cho - Barclays Capital, Inc.: Okay. And would you be able to give us some color on the split of how much the $100 million guide down was due to asset sales, just given the timing of how the asset sales will pan out versus the blends and extends and other refinements?
Willie C. W. Chiang - Plains All American Pipeline LP: I don't want to get into the details on that. I think my comment on the order represents the magnitude is about the farthest we'll go, Christine.
Christine Cho - Barclays Capital, Inc.: Okay. And then where were the blends and extends? Was that primarily DJ and Permian, or was it sort of like all across the system?
Willie C. W. Chiang - Plains All American Pipeline LP: Again rather not get into the details of what the contracts are on blend and extend. What I will tell you is that some of them were related to getting some of the new projects on to ensure longer-term cash flow.
Greg L. Armstrong - Plains All American Pipeline LP: Yeah. Christine, this is Greg. I'll just make the comment. What we figured out is, we not only have buy-side and sell-side analysts on our call, we have competitors. And we've heard back from some of our customers things that we've said on the call that our competitors are leveraging and trying to include in their sales pitch as to why to pick them over Plains. And we took real note of that and realized that we want to be as transparent as we can, but we don't want to be so transparent that we hurt the business. It might make your models easier to put together, but it makes it harder to transact with our customers. And so, for example, some of this information, I think, if you think of the description that Willie provided you on the contributors to the year-to-year sequential change in fee-based segments, and basically think of it as an inverted triangle, where asset sales was the biggest part of the contribution to that $100 million difference. The next would be blend and extend. The next one, just refining inputs from the producers, and the last one was weather. There's some other chatter in there, but those are the big four things. But again, think of that inverted triangle, and then what we were trying to do is give you comfort, the business is not deteriorating. If anything, it's getting more solid. And the important thing is net of the asset sales that we're doing in 2018, you're still looking at 14% to 15% growth in fee-based activities in 2019 because of some of the decisions we're making to drop some of our expectations in the near term on the blend and extends, but get concessions and certainty of shipping, if you will. So we've gained volume. So we're making the right calls absolutely for the long-term health of the business. Does it hurt 2018 relative to what we might have expected in August? Absolutely. But we're going to end up even at $2.2 billion of fee-based with 160% coverage of the distribution excluding S&L and funding our capital program with non-dilutive, it was easy call.
Christine Cho - Barclays Capital, Inc.: Okay. That was helpful. And then just quickly, can you remind us if any of the Cactus I expansion capacity was contracted to third parties, or is that something you did without contracts because the cost is relatively low? And then the 300,000 barrel per day contract with Trafi, should we think of that as an MVC?
Unknown Speaker: You should think of the Trafi contract as an MVC. The expansion was low cost, but we have filled up the capacity...
Unknown Speaker: Third parties.
Unknown Speaker: The third party commitments.
Christine Cho - Barclays Capital, Inc.: Okay, great. Thank you.
Operator: Thank you very much. Our next question will come from Brian Zarahn with Mizuho. Please go ahead.
Brian Joshua Zarahn - Mizuho Securities USA, Inc.: Good morning.
Alan P. Swanson - Plains All American Pipeline LP: Good morning, Brian.
Brian Joshua Zarahn - Mizuho Securities USA, Inc.: Just following up on Cactus II, how do you anticipate shipper diversity taking shape before the project comes into service? And any detail, I guess, in light of what you mentioned earlier, maybe not as much, but how should we think about average contract life and cost of the project?
Willie C. W. Chiang - Plains All American Pipeline LP: So, Brian, we're not going to discuss details on it. I think we have an open season still in progress. I will say that the first open season (39:12) shipper there of 300,000 barrels a day for long-term tenure. And then I think we'll just have to wait until the second open season completes.
Greg L. Armstrong - Plains All American Pipeline LP: As far as diversity goes, we don't discriminate against gender or religion.
Brian Joshua Zarahn - Mizuho Securities USA, Inc.: Okay. Fair enough. On...
Greg L. Armstrong - Plains All American Pipeline LP: Hey, Brian. Also I'd just make the comment on Cactus II. We're not relying on an affiliate shipping on that to underpin the economics. The fact is we're relying effectively on third parties, if that was your question. I didn't mean to be too cute.
Brian Joshua Zarahn - Mizuho Securities USA, Inc.: Okay. Understood. And then the theme of project returns, how should we qualitatively think about Cactus II relative to your prior investments in the Transportation segment and intertwining benefit to your gathering system?
Willie C. W. Chiang - Plains All American Pipeline LP: I think it would be very consistent. So we always say 300 to 500 basis points over weighted average cost of capital. And I think with the anchor shipper, we'll certainly be in that neighborhood; depending on the second open season, we could be above.
Brian Joshua Zarahn - Mizuho Securities USA, Inc.: And then just a housekeeping item, what was the cash balance at the end of the fourth quarter?
Alan P. Swanson - Plains All American Pipeline LP: Small. I forget the number, Brian, but probably $35 million, something like that. We try not to run any cash. We rather would pay down debt.
Brian Joshua Zarahn - Mizuho Securities USA, Inc.: Thanks, Al.
Operator: Thank you. Our next question comes from Michael Blum with Wells Fargo. Please go ahead.
Michael Blum - Wells Fargo Securities LLC: Thanks. Just another question on Cactus. I apologize. Just to clarify, the JV that you're in discussions on, is that going to be with incremental shippers beyond the one shipper that's been disclosed, Trafigura, or it could be with them as well?
Willie C. W. Chiang - Plains All American Pipeline LP: So, Michael, we haven't said anything about JV partners. So we've got a project that has had a successful open season one with a large shipper. We have stated before that our desire would be to have partners that would be preliminarily producer partners that would participate in the JV, and we haven't really given any definition beyond that.
Greg L. Armstrong - Plains All American Pipeline LP: I mean, we're right in the middle of the open season around that. It wouldn't be appropriate. And you can imagine, those don't happen without negotiations. So, last thing we want to do is turn over all of our hold cards. Right now, we've got a lot of interest of – we would not have problems getting partners in this project at all, if we're just looking for a financial partner. We're looking for people that bring more than just money to the table.
Michael Blum - Wells Fargo Securities LLC: Okay. And then the $550 million of CapEx in 2019, I just want to make sure. That is identified CapEx today, but more likely than not, that number will grow over time as you shore up additional projects. Is that the right way to think about that?
Greg L. Armstrong - Plains All American Pipeline LP: Yeah.
Willie C. W. Chiang - Plains All American Pipeline LP: That's fair.
Greg L. Armstrong - Plains All American Pipeline LP: It's more the carryover of just finishing up the projects that we've talked about. And, yeah, we'd love to generate more projects that have good double-digit returns.
Michael Blum - Wells Fargo Securities LLC: Okay. Great. Thank you.
Greg L. Armstrong - Plains All American Pipeline LP: But I would say that it doesn't require any more capital than what we're showing there to generate that 14% to 15% uplift in 2019.
Michael Blum - Wells Fargo Securities LLC: Okay. Understood. Thank you.
Operator: Thank you. Next we'll go to Dennis Coleman with Bank of America. Please go ahead.
Dennis P. Coleman - Bank of America-Merrill Lynch: Yeah. Good morning. Just one follow-up on Cactus and its potential for JV. Anything you can talk about timing? It sounds like you're in negotiations. Is that something we should think about here and in the next call or is it late this year?
Willie C. W. Chiang - Plains All American Pipeline LP: I would say the next call we'll have more information, Dennis.
Dennis P. Coleman - Bank of America-Merrill Lynch: Okay, okay. Thank you. And then, just if I can ask a little bit about the delta on the guidance on the S&L business, now guiding basically to the lower end of what prior range was. So what's the drivers there?
Greg L. Armstrong - Plains All American Pipeline LP: Since I created that, I'll go ahead and field it. This is Greg. In the deleveraging call, we said basically we still see the range of potential performance as the $100 million to $300 million. What we said very clearly on the last call, in fact it was on the August call, we were going to use $100 million as the basis for our projections for deleveraging, and that's what we're doing right now. And candidly, our focus is on execution of the fee-based side of it tremendously. If at the end of the year, we're plus or minus $10 million on that $100 million, it's not going to change our view of how we perform. If we come in at $140 million, I don't know that anybody who's going to give us credit for repeating that, so we just basically said, we're going to use the $100 million at low end. Anything above that, we'll use to reduce debt.
Dennis P. Coleman - Bank of America-Merrill Lynch: Okay, that's helpful. Thanks very much.
Operator: We'll hear next from Kristina Kazarian with Credit Suisse. Please go ahead.
Kristina Kazarian - Credit Suisse Securities (USA) LLC: Hey, guys. Going back to Shneur's question in the beginning, when I'm looking at slide 18 in the Appendix, you guys mentioned 14% to 15% fee-based calendar year 2019 growth. That seems like a really strong number to me and even above consensus. So can you maybe help me understand, since this is on the last page of the deck versus something you're leading with, maybe, one, your comfort level in this number, and two, kind of some of the puts and takes around it?
Willie C. W. Chiang - Plains All American Pipeline LP: Kristina, I think Greg did a pretty good job of answering it earlier in the call. We've got a lot of projects that are starting up that we have MVCs that are anchoring it, and we do – we are very, very confident in production increases as well. And it's mixed over a number of different projects that he outlined. We can go through that again or we can talk after the call if you wanted to go into the separate ones.
Greg L. Armstrong - Plains All American Pipeline LP: Yeah. Kristina...
Kristina Kazarian - Credit Suisse Securities (USA) LLC: I guess....
Greg L. Armstrong - Plains All American Pipeline LP: This is Greg. Again, realize we've got some competitive issues here, but – and I think Willie did a great job in his section talking about how our system provides us the basis to have an advantage for somebody to build a pure greenfield where we can go in and do something at a lower cost on a more expedited timing. And we've got other bells and whistles that we can offer, and they can – if they're going to ship on company A, but they could ship the same barrel on us and also get the benefit of additional downstream transport capacity, obviously, it doesn't hurt them, but it helps us. So on these blend and extend contracts and the ancillary activities or capital programs that we've talked about that came along with Cactus II and with the looping, we're going to get the benefit of that in 2019 and we're spending the incremental capital is in the numbers that we've given you. So full-year benefit of MVCs in 2019 on certain activities, a half year on others, and then a significant amount of benefit on some of this ancillary capital, where people are leasing tanks from us, because they need to stage their crew before it goes into our pipelines. That's what supports that 14% to 15%. Clearly, there's some portion of that I would probably – and I'm reaching out here, Al, help me. But if you were trying to say how much of it's related to simply volume growth and our ability to capture versus MVCs, I'd probably tell you it's less than 30% of that 14% to 15% growth is pure volume growth. And in some cases, we're getting – in many cases, blend and extend, we're getting them to add acreage commitments and other things to it. So if the volumes are produced, they're coming to us. And so we were willing to trade off some of the near-term, if you will, fee-based erosion in 2018 to get certainty of capturing barrels at attractive rates that then also feed the very pipelines that they want to ship on. So, as I said, we're absolutely – it was an easy call.
Willie C. W. Chiang - Plains All American Pipeline LP: Hey, Kristina, just another data point for you as well. When you think about Permian takeaway capacity, there are no new lines. Other than the Enterprise line to Sealy that's there now, there's not a significant additional capacity coming on in the short term. So, when we think about 2018 and the first part of 2019, any additional volumes that are produced in the Permian will fill line. So that's another very supportive fact that we think about as we go forward.
Kristina Kazarian - Credit Suisse Securities (USA) LLC: Perfect. No, I was just trying to gauge your conviction level. But it sounds like high conviction, so I'll kind of take it as guidance. Thank you, guys.
Willie C. W. Chiang - Plains All American Pipeline LP: Thanks, Kristina.
Operator: Thank you. We'll next hear from Tom Abrams with Morgan Stanley. Please go ahead.
Tom Abrams - Morgan Stanley & Co. LLC: Hey. Thanks. Just remaining for me is an idea of how 2018's fee-based business might unfold. Picking up on this comment you made about the DUCs and conversions and completion crews in the second half, does that mean on your properties a significant amount of that guidance is baked into the second half versus the first, or is it pretty even through the year or a steady ramp through the year as you show for basin production?
Greg L. Armstrong - Plains All American Pipeline LP: You're talking on the fee-based itself?
Tom Abrams - Morgan Stanley & Co. LLC: Yes.
Greg L. Armstrong - Plains All American Pipeline LP: Yeah. I mean, because – Al talked about the S&L is going to sag in the second and the third quarter. So if you look at the aggregate, you're going to get a sag in the aggregate because of the S&L fluctuations. On the fee-based, I'd say it's pretty steady. But realize, we've got some asset sales and, as Willie mentioned, we've got some that will close in the first quarter, some in the second and some in the second half. And so if you exclude the asset sales, I'd say it's pretty steady in terms of the slope. There's not a hockey stick, if that's what you're asking, but it's because obviously we're expecting to see volumes rise about 600,000 barrels a day in the Permian.
Unknown Speaker: Okay. And if you just think about the growth that we expect to have in 2019, so you have to have a steady growth through 2018 to get to that 2019 ramp.
Tom Abrams - Morgan Stanley & Co. LLC: All right. Thanks a lot. I just wanted clarification. Thank you.
Greg L. Armstrong - Plains All American Pipeline LP: Thank you.
Operator: Our next question will come from Jean Ann Salisbury with Bernstein. Please go ahead.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Hi. Good morning. I just wanted to follow-up on the Permian takeaway that you'd mentioned a couple questions ago. So you're still estimating around 3.5 million or 3.6 million barrels a day of total Permian takeaway in demand through 2018? I think that's the number in your latest presentation.
Willie C. W. Chiang - Plains All American Pipeline LP: I remember at about 3.5 million – I remember the exact number, Jean Ann, I thought it was 3.5 million a takeaway.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay.
Willie C. W. Chiang - Plains All American Pipeline LP: And 3.4 million to 3.5 million of production.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Yeah, great. And I was just wondering if Plains can add any material capacity from drag-reducing agents and if you are kind of assuming anything for others in that number?
Willie C. W. Chiang - Plains All American Pipeline LP: Yeah, Jean Ann, we actually have a pretty advanced program on optimizing drag-reducing agent versus power costs, so the answer is we've factored all that in.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. And you still get to the 3.5 million?
Willie C. W. Chiang - Plains All American Pipeline LP: Correct.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Okay. And then just one final follow-up. What's your latest rail loading capacity from the Permian?
Unknown Speaker: From the Permian?
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Yes.
Unknown Speaker: We have a little facility at the Camy (51:19).
Unknown Speaker: It's transloader, right?
Unknown Speaker: Yeah, it's transloader, a couple of transloader facilities around. I don't think any of them have operated in years.
Greg L. Armstrong - Plains All American Pipeline LP: Yeah, that's never been our – our focus was not to load railcars in the Permian. We're more trying to load cars in the Williston in Canada and bring it south.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Yeah. Okay, great. Thank you.
Willie C. W. Chiang - Plains All American Pipeline LP: I think you got your answer, Jean Ann.
Jean Ann Salisbury - Sanford C. Bernstein & Co. LLC: Yeah, that makes sense. Thanks a lot.
Operator: Our next question comes from Tristan Richardson with SunTrust.
Tristan Richardson - SunTrust Robinson Humphrey, Inc.: Hey. Good morning, guys. Just a question on market share and to Greg's point about volume capture. When you compare your expectations for the basin growth versus your expectations for Plains' Permian volumes, that ratio you guys talk about, it seems like it's increasing for 2018. Is that more a function of capturing a greater share of growth out of the basin or that multi-touch effect just from touching the barrel multiple times?
Unknown Speaker: A lot of it's driven by producer mix. You've seen over 2017 and the first part of 2018 a lot of the larger producers which are core to Plains and substantial customers of Plains. They've been ramping infrastructure investments in 2017 and the first part of 2018. But all those completions and drilled uncompleted wells and all of the infrastructure, you'll see step changes in production that comes through the Plains system. And as incremental projects come on in 2019, as Greg mentioned, there will be step changes in volume that flows to us. And so you're going to see material impact from the integrated to the larger independents. Where some of the smaller gathering systems that have come up have been more tied to fee-backed groups or smaller independents, you're going to really see growth from some of the larger Permian players as you guys cover, and a lot of that Plains is more leveraged to. So, although you see year-over-year growth that's comparable, we will have a substantial portion of this growth come through our system.
Greg L. Armstrong - Plains All American Pipeline LP: And a big part of that's weighted to the Delaware, which has been lagging, and that's where we mentioned earlier, we know where the DUCs are, we know who drilled them, and we know a lot – 25% are on our acreage. There is some of the double touches. So if we move on our gathering system A and we collect the tariff, and then it goes on to an intra-basin pipeline, where we have a different tariff, and then we move it on to the takeaway pipe, that one barrel may account for three touches. And so if you just look at 2017, production was up about 700,000 barrels in the Permian on total and our Permian volumes went up right at 1 million barrels. And, obviously, we didn't get 150% market share, but we touched some barrels two and sometimes three times, and we cannot tariff barrels in each of those movements.
Tristan Richardson - SunTrust Robinson Humphrey, Inc.: Thank you, guys. No, that's helpful. And then just lastly, on Facilities, prepared remarks were very helpful; fully understand that asset sales are a big part of the 2018 delta from 2017. But curious, could you talk a little bit about the unit margin or EBITDA per barrel decline 2018 to 2017?
Alan P. Swanson - Plains All American Pipeline LP: Part of it's driven by the large turnaround expense we have in Canada that was accelerated to match up with the gas pipeline turnarounds that were previously forecast in 2019.
Greg L. Armstrong - Plains All American Pipeline LP: Was it TransCanada's?
Alan P. Swanson - Plains All American Pipeline LP: Yes.
Greg L. Armstrong - Plains All American Pipeline LP: So TransCanada has a big turnaround executing in (54:53) 2019. They pulled it into 2018, so we'll have to shut – we'll be shutting one of our plants there, because we'll be moving gas to it and we're doing a turnaround there in that time period. So we have to expense those costs and we lose volumes. And I think you're talking about the dip from $0.47 a barrel to $0.44 a barrel...
Tristan Richardson - SunTrust Robinson Humphrey, Inc.: Right.
Greg L. Armstrong - Plains All American Pipeline LP: ...in the guidance? Yeah. So you're going to get the combination of asset sale chatter in there, obviously, and then you've got this turnaround, where you get less volume and more expense. It happens, I think, every three – every four to six years, so it's not a routine occurrence, but they moved it forward to us a year, and that affected some of our guidance recalibration. We didn't put that in the long list, but there's, obviously, a lot of chatter in there.
Tristan Richardson - SunTrust Robinson Humphrey, Inc.: Understood. Thank you, guys, very much.
Operator: Thank you. Our next question will come from Chris Sighinolfi with Jefferies.
Christopher Paul Sighinolfi - Jefferies LLC: Hey. Good morning, Willie. Just wanted to follow-up maybe quickly on a point that Tristan was just hitting on. If I move up to Transport and think about this segment EBITDA per barrel, sort of the escalation into 2018 that you're expecting, if I think about it, obviously, piercing some of the MVC thresholds was an issue in 2017, maybe getting a better FERC tariff adjustment with some of the inflationary pressures might be another, and then offset by your blend and extend efforts. Just curious sort of two related questions, as you sort of think about your water flow pyramid of impact from those or anything else I'm missing, sort of what's the order of magnitude driver on that escalation? And as you think about 2019, the prelim fee-based guidance you gave, how do you think about those things translating into 2019?
Greg L. Armstrong - Plains All American Pipeline LP: I mean, well, I think you just answered the question. Really, there are volume mix and there are obviously – and some of the asset sales as well. There'll be some pipelines are in there. So if you're talking about the $0.03 variation between $0.68 and $0.71 a barrel in the...
Christopher Paul Sighinolfi - Jefferies LLC: Yeah.
Greg L. Armstrong - Plains All American Pipeline LP: That's going to be a combination of all those things. We haven't tried to break it down that way, because there's probably a – well, you mentioned four or five and you add two or three more to it in terms of asset sales. And then again multi-touch is – the blend and extend clearly is part of it.
Harry Pefanis - Plains All American Pipeline LP: And the other thing you have to think about is that the newer infrastructure a lot of times has higher tariffs than the legacy infrastructure. So that is just the product mix. The relative contribution for the newer infrastructure is going to elevate that metric as well.
Christopher Paul Sighinolfi - Jefferies LLC: Yeah. I guess that's what I'm trying to get at is as we think about the 2019 number and if I think about selling perhaps lower non-core stuff that might be older and adding newer stuff, plus the escalation of some of the inflationary pressures, things like that, just how we might see that? Obviously, we moved up marginally – we have moved up marginally in that profit per barrel from 2015 to 2016, 2016 to 2017, 2017 to 2018. It seems like it's inflecting a bit, and I'm just wondering what that trajectory kind of carries us into 2019. What, if any, help you can offer on that? Does it accelerate further year-on-year change, or how should we at this point maybe think about that?
Greg L. Armstrong - Plains All American Pipeline LP: Yeah. Chris, and unfortunately you're talking about a modeling challenge you have and you have two or three lines. Our model has about 800 lines, because it has every one of the different pipelines in there. And so, the variance of the $0.03 is not a target or objective. It's the result of running the actual stuff through all the models and the different product mix, asset sales, blend and extend and, as Harry said, new assets. So other than – you almost have to kind of reverse engineer and start with what you think 14% to 15% growth in 2019 translates to, and then come back to an answer, because we can't give you that level of granular detail. And as I mentioned earlier, even if we could, I think our competitors who would love it, we wouldn't. So...
Christopher Paul Sighinolfi - Jefferies LLC: Okay.
Unknown Speaker: And there's a forecast embedder in there too, so we don't know what the forecast – what that could do next year as well.
Christopher Paul Sighinolfi - Jefferies LLC: Right. Okay. All right. Well, I think we're at the hour mark. I appreciate the color, guys.
Greg L. Armstrong - Plains All American Pipeline LP: Thanks.
Willie C. W. Chiang - Plains All American Pipeline LP: Thank you. So I think we'll take one more question and then we'll wrap this up.
Operator: Certainly. And that question will come from Jerren Holder with Goldman Sachs.
Jerren Holder - Goldman Sachs & Co. LLC: Thanks. Good morning. Thanks for taking the question. Just following up on the pipeline takeaway capacity and refining demand versus your 3.4 million to 3.5 million production forecast. To a degree that there are pipe delays or unexpected downtime or anything like that, do you expect that you would still push through those volumes on rail or producers may elect to build more DUCs?
Harry Pefanis - Plains All American Pipeline LP: I don't think we have any forecasted volumes. The only thing – the next pipeline expansion that comes online is the Sunrise extension, and that's going to be early 2019. So I don't think there's anything pending. Yeah, but that's – yeah, Enterprise has got their line of service.
Jerren Holder - Goldman Sachs & Co. LLC: Sorry. I meant – sorry. On slide 4, you guys are talking about the Plains' Permian outlook forecasting production to grow to 3.4 million to 3.5 million barrels per day. And just talking about the context of, I think, pipeline takeaway capacity, I think Jean Ann asked the question about your outlook for what takeaway capacity is. I guess I'm trying to get to, if we don't have enough pipeline to support that production forecast, does it move by rail or the producers ultimately just build more DUCs?
Greg L. Armstrong - Plains All American Pipeline LP: Well, yeah, I think – this is a pretty innovative industry and you'll be surprised. Last time differentials blew out and it supported driving trucks all the way to Corpus. And so I think the barrels will move once they start. Clearly, we've got – and really mentioned the DRA, we can sacrifice power savings for volume if we need to. I mean, I think trying to marry to the right transporter is part of the answer. What we're committed in our customers is that their barrels moves.
Jerren Holder - Goldman Sachs & Co. LLC: Okay.
Greg L. Armstrong - Plains All American Pipeline LP: That's a little bit of an advertisement saying pick your carriers smartly.
Unknown Speaker: Part of that is you've got Enterprise expansion, you have potential for Permian Express 3, and you have the Sunrise project that comes on in January of 2019 just from the other side of this that adds over 100,000 barrels a day. So you do have incremental pieces coming that will be closed. There's a tenuous balance in the fourth quarter, in the first quarter of 2019, and even through probably the third quarter of 2019. And then it's a question of at what point does Cactus II come online, and then from there, what connectivity does it have at that time. So it's not going to start up at 600,000 barrels a day. So I think 2019 is going to be balanced. It's going to take some creative solutions, but we're already working with our customers on those today.
Greg L. Armstrong - Plains All American Pipeline LP: And then from a bridging standpoint, and Jeremy mentioned again, we've got – we're targeting to bring Sunrise on January 1, 2019. We've got a lot of tankage in the basin and if you just simply said what could – 12 million barrels, well, it could handle 300,000 barrels a day, okay, so 30 days, 40 days, if we needed to in there. And so, I mean, smart operators are going to empty your tanks in advance of the pinch point, and then you'll fill them and bridge to the pipeline, open it up, and then you'll bleed those down. So, again, that's the benefit I think working with Plains and having a network of different pipelines, different tankage, and different markets.
Jerren Holder - Goldman Sachs & Co. LLC: Okay. That's great. Thank you.
Roy I. Lamoreaux - Plains All American Pipeline LP: I think, Yolanda, we'll close the call at this time. Thank you, everybody, for joining us. We appreciate it.
Operator: Certainly. And again, that will conclude our event for today. We do thank you for your participation, and you may now disconnect.